Ian Cameron: Good morning, everyone, and welcome to today's webinar where we're going to cover the Financial Results announcement for Fobi’s Year End as of June 30th 2022. I'm your host, Ian Cameron, and I'm joined today by Fobi’s CEO, Rob Anson, and our CFO, Annie Chan. So first, Annie will take us through a few slides to go over the financial results. Then Rob will make some remarks. And finally, we will finish up with some pre-submitted questions that the investors have sent in over the weekend. Thank again. And Annie, it's all yours.
Annie Chan: Thank you for introduction, Ian. Welcome to Fobi's Financial update, and thank you for calling in. My name is Annie, and I'm the CFO of Fobi. By way of background, I joined Fobi seven months ago. Prior to joining Fobi, I worked for various companies trading under Toronto Stock Exchange main board, as well as venture exchange along with a OTC listing in the US. Most recently, I was the CFO of a SaaS company with a recurring revenue business model and before that, I was a CFO of a telecom company that also had a recurring revenue business model and became acquired by China's largest [Indiscernible] in telecom. 2022 has been a very busy and exciting year for Fobi as it starts to see the fruits of its labor, a lot of meaningful contracts were signed. And as we move from R&D stage to commercialization, we are starting to see revenue being realized. I am happy to walk everyone through to financials today. There were some questions that came in over the weekend, which we will be addressing at the end of the presentation. Without further ado, let's begin and talk about revenue. 2022 represents Fobi's first full year of revenue generation. Revenue increased by $1.8 million or 1200% from $157,000 last year to $2 million this year. The increase is mainly attributed to the growth in recurring revenue. Of the $2 million, approximately 75% of revenue is recurring as we can see in the pie chart. As the company continues to validate its value proposition, initially through pilot projects and later realizing revenue, it will shift towards commercialization of product, which provides further opportunities to realize recurring revenue. Recurring revenue is what will we strive for as it is scalable and repeatable. You may recall from the MD&A, that there were fluctuations in revenue in prior quarters. This is because in earlier quarters, nonrecurring revenue accounted for a larger percentage of total revenue. We are seeing a shift in recent quarters and the majority of our revenue is now coming from recurring sources. Next slide, please, Ian. I want to further discuss the difference between recurring and nonrecurring, and provide examples of how each may apply in the context of Fobi. By way of knowledge, recurring revenue as the name implies is repeatable revenue. This could include accounts we charge on a monthly basis or those with an annual license. As an example, most wallet pass customers are charged based on a number of active passes in a given month. The turn rate for wallet passes is very low, which means once a client is onboarded, they stay with us for a very long time. This is especially true for insurance clients who use their wallet pass to manage their [patient] membership. There is deep integration between our insurance clients, technology and ours, which means it would be very troublesome and expensive for an insurance provider to switch. Consequently, not only is this revenue recurring but the lifetime value of insurance clients is very high as the churn is extremely low. Another example of recurring revenue could be our coupon clients. The majority of our clients are returning, which means when the block of coupons that they purchase expires, they would purchase a new block. So revenue from such clients are of a continuous nature. Recurring revenue could also include clients that have an event once a year, provided the return every single year. An example of that could be the Oscars. Nonrecurring revenue, as the name implies, are one time. This could include development work done, consultant services performed, set up and training. Because Fobi has invested a significant amount of time and resources towards its infrastructure, often time when we have to do development work for our clients, we are able to draw from what we have, call what we have with some adjustments, which means nonrecurring revenue could be delivered to our clients relatively quickly at very meaningful revenue and very high margins. Our focus, however, is recurring revenue as it is scalable and repeatable, which is what the company is focused on. And as mentioned earlier, as the company continues to validate its value proposition initially through pilot projects and later realizing revenue, it will shift towards commercialization of a product, which provides further opportunities to realize recurring revenue, and we have started to see a shift in recent quarter. Next slide, please, Ian. First of all, if you were to just look at the MD&A number without any context to the breakdown of net loss, a 19 million loss would seem like a rather frightening number. I want to emphasize that this includes noncash items, namely stock based compensation and amortization. If you were to strip out these two line items, the loss decreases from 19 million to 9 million, and much of the loss includes onetime operating expenditures, which I will further explain over the next couple of slides. But before I do that, I do want to talk about stock based compensation, because I received a huge amount of questions on it as it's often the highest dollar amount on the P&L. Next slide, please, Ian. Stock based compensation is a noncash item and Fobi recognized close to 8 million in stock based compensation in fiscal 2022. Stock options granted are valued using Black-Scholes pricing model in accordance with IFRS. The Black-Scholes pricing model looks at the volatility of the stock over the term of the options and because the term of the options are mostly five years, it looks at the five year trading history. And if you remember, Fobi was trading as high as 3.93 in 2021, which means, the Black-Scholes pricing model assumes that when the Fobi stock goes back up to 3.93, the options that were granted are very, very valuable, which is why it has signed an $8 million price tag to it. As a reminder, stock based compensation is noncash, so we, however, need a way to follow it, and Black-Scholes is the acceptable model in accordance with IFRS. Unfortunately, it does create a huge amount of confusion for a reader because it does affect our net loss significantly. Next slide, please, Ian. The increase in operating expenditures during the year is mostly attributed to the three line items here, namely wages, technology and consulting fees. The commonality of all three is that they are all expenses we have to incur in order to architect our platform and integrate with our newly acquired subsidiary so that we can offer a suite of products to our clients. Some of these costs will not carry through to 2023. As Fobi automates this process, we do expect much of these expenditures to decrease, and we have seen the effects of it already. For example, with respect to -- with wages, the average headcount for fiscal 2022 was 60 and at today we were at 40, and we expect wages to decrease from fiscal 2022 to fiscal 2023. With respect to technology, much of this relates to hosting and one time costs incurred in order to integrate our backend with our subsidiaries to service our suite of products. Note that the relationship between revenue and technology is not linear. Much of this cost is front loaded and the increase in revenue is expected to have a small impact to technology. Translation, if we double revenue, we are definitely not doubling our technology costs, as much of this cost has been frontloaded. With respect to consulting fees, we have over 20 consultants in fiscal 2022, which accounted for 1.8 million. Most of these contracts have now been canceled and as of today we only have four consultants, because much of the service we hired for previously are now done in house. In summary, fiscal 2022 was a year of noise and a year of change. We were able to monetize our projects that were previously in the pilot phase. We were able to move from non-recurring revenue to recurring revenue focus. We did have a lot of OpEx. But as mentioned, a lot of it's one-time. The company is seeing traction, which is what is landing us with fair revenue clients and partnerships and that in return has allowed us to close a recent private placement that we did along with opening doors for a lot of strategic capital, which Rob can speak to in a moment. That concludes the financial update. We did receive some questions over the weekend, which we can go through shortly.
Ian Cameron: Great. Thanks Annie. Rob, I'll turn it over to you.
Rob Anson: Thanks Ian. Thanks Annie. I’ll just say this was a very solid year for us for many reasons. This has been a year from -- to me is about evolution as we are a SaaS tech company to see the increase in revenues as we've seen from the numbers reported by Annie, is over 1200%. That is a very, very solid reporting number as a yearly aggregate. When I start to look at the organization this year, we really transitioned from an R&D and sort of MVP stage company to realization and validation and commercialization as we move to now scale. As Annie showed the numbers here with 75% of our revenues recurring now, the focus here, as I've said over the last few quarters, has been towards balance. SaaS is always about monthly recurring revenue and we've obviously seen now that realization. Our focus is of course to continue to scale and grow. And now that as we've looked at other means to monetization in our office execution of Barnet, in ideal with the data monetization three year exclusive licensing agreements, this continues to put us in a very solid trajectory for next year. I would also like to point out the fact that as we've made numerous acquisitions back in 2020, 2021, this unfortunately brought on a great deal of technical debt. Going back four months ago, five months ago now, we were able to move from heavy tech engineering [technical] debt and to report our completion of the integrations, which now provides us a key market differentiator in many, many areas of which we're focusing our business today. We've seen we're obviously in a very strong position. I would say had announced 2023 as witnessed in our most recent closing of a nonbroker private placement. We took very strategic monies in. And as we look to further bolster the company's cash position and come from a position of strength, we're very cognizant as to dilution, of course. And with today's current market conditions and share price, we were very, very strategic and cautious as to not overloading as we will, and respecting those that have supported us here over the last few years. I think when we start to look at it now, as the company has options, numerous strategic options, I would say. If we do need capital for further accretive acquisitions and to grow further down the road, it's nice now for us to be able to have that, especially in today's market conditions and of which we've seen here over the last nine, 10 months, I guess it is. I think, as we move towards 2023, people will start to begin to understand, I think, all the vision where the hard work, commitment that our team has put forward, and now is starting to realize. And I think now people are starting to understand what channel means as far as bringing the products to market, reducing our overhead, but continuing as we see now with the recurring revenue model. I'm very excited about 2023 for many reasons. And as we've seen in today's announcement and others of late, the go-to-market and channel is very, very strong for us. And we continue to look to develop our own now in house sales and media agency, which not only enables us to continue our sales and marketing efforts, but enables us to further monetize as the world now continues to transition to remote and looking to reduce burn and operational costs. They are looking at us to provide services and to assist with the challenge of the heavy onboard, as they say with a lot of our new deployments. So we're very light and agile now, which is great. And it's something as we move towards 2023 I'm very bullish as to where the company goes to find a new level, not in the market per se only but more importantly, from continued third party validation and growth in revenue.
A - Ian Cameron: All right. Thank you, Rob. We'll now move onto the questions and answers. We've got some pre-submitted questions, so thank you to all the investors who sent in questions for us. I'll be directing these both to Annie and Rob. The first question is for Annie. So Annie, the MD&A shows back to back quarters of decreasing revenue. Can you please explain that?
Annie Chan: Yes, sure. Thanks for that, Ian. So as discussed in presentation, earlier quarters did include a lot of onetime revenue, which is what is creating the fluctuations. And as mentioned, the company is focused on recurring revenue, and we have seen a shift from being non-recurring revenue heavy to recurring revenue heavier towards the more recent quarter. And as the company moves from R&D to commercialization, we could expect a large percentage of overall revenue to be coming from recurring revenue. And when that happens, we're going to see revenue to smooth out better as opposed to the, some of the spikes that we may have seen in the past. But we are definitely moving in the right direction and we are 75% recurring revenue now.
Rob Anson: And just to answer, going to the next question. I think I would like to add one point to that is I think, as I stated in my comments, this is what we are going to see is in part of my intentions with the various acquisitions was providing the value to the market and the client by way of connecting, enhancing their existing infrastructure. I see -- this is I previously stated as enabling technology provider, which is important as is in today's announcement, just for a clear example of that -- is that these team and operators have very, very large mobile applications through FanMaker and others. And it's this plugin integration interface that we are providing them is enabling a future proof IT infrastructure and roadmap. So the Fobi side of the business, there's a great deal of focus on these, let's call them, trophy hunting exercises. And we will continue to see spikes, of course, where the recurring revenue is what will lead us to the cash flow positive motion as we continue to evolve. But it is these trophy hunting exercises when we land the big deals where we will see big, large spikes in certain quarters as Annie alluded to. But as we do grow and continue to scale in 2023, now the highway and interoperability of which our platforms through acquisitions provide, there is the key foundation of the company providing this interoperability now and segue to leading to multiyear contracts as we've witnessed. So that's a very, very key components here is that understanding we will have spikes of course, which to me is a positive thing, because it means that we've successfully won some of these very large enterprise RFP deals.
Ian Cameron: Well, that actually sets up the next question quite well. This is for you, Rob. So there have been a lot of new clients and partnerships announced during the fiscal year. Has revenue been earned with each of those deals, and is it included in the total reported revenue?
Rob Anson: It is. I mean, parts of this is -- I'll let Annie speak to you, of course, but is that, when we sign these annual deals, for example, the license deal, we can't simply report everything upfront, as much as everyone would love to see the large number in the large spike. It's amortized throughout the year as we deliver the service as per IFRS in the various agreement as well itself. So as we've seen in our corporate update that we put out the last couple weeks here, not every agreement works out. And it's simply not because the technology failed, we were in a point of time as well where early stage we went as wide as possible trying to get into as many pilots as we could. And we've seen these parlay now into very significant substantial contracts and opportunities for us. Casing point when we did our first pilot for NCAA, it was basically a donation of services as to be able to provide future value and future opportunity once we proved out our credibility worth. And that led to multiple different revenue contracts, which led to, of course, now the [Indiscernible]. Some of these things for us is it's very important to invest into opportunity and into partnerships. Business to me is always about partnerships and relationships. And as we've seen with the progression, natural progression of Telus, we started as a SIM connectivity partner and we put those into our Fobi IoT device. Now we've transitioned to marketplace. We've transitioned to now procurement, where they are sold by Telus and it's powered by Fobi. So some of this evolution, as I said in my earlier comments, is very important. We've set a very, very focus and dedication to our roadmap and to our strategic collaborative senior management focus and direction. And as we've said, we are in a very strong position. We'd only do things if it makes sense to us. And there are opportunities where it sounds great and then when you look at the financial numbers, it just simply doesn't cut it. It's not in the best interest of the company and we decided to part ways. So not every deal that we do, of course, has been revenue to date. But everything that we are now announcing, these are all revenue generating contracts. And as we now see, as we evolve the company further to next year and we've gained the stature and new level of credibility, this now helps tremendously in the sales cycle.
Ian Cameron: Okay, thanks for that, Rob. I'm going to go back to Annie with this next question. Annie, if the Oscars and NASDAQ were executed well, can we expect contract renewals from these deals?
Annie Chan: We are expecting that to be the case. In the case of NASDAQ, they've actually asked us to do more work, and we have been developing new features for them, additional features, and that is happening already. With respect to the Oscars, we are working on a quote for next year, as we speak. I do want to kind of come back to the question earlier and thanks for clarifying that, Bob. I want to emphasize that with every single account, there is a nonrecurring revenue component and a revenue component -- recurring revenue component. And the nonrecurring always takes place first, which is also why we see the spikes. The nonrecurring is often a meaningful amount, we charge first, which is why we see it hit the P&L first, before the recurring revenue starts to be realized. The fact that we see a little bit more spike right now is because the recurring revenue -- the nonrecurring revenue is a high amount, but over time as our MR builds then the nonrecurring would be a smaller percentage relative to recurring revenue. So thanks for clarifying that, Bob.
Ian Cameron: Great, thanks Annie. The next question is back to you Rob. Can you provide an update or explain what's happening in the uplist process?
Rob Anson: The uplist process, that's a good one. I think it's something that we put a lot of great deal and focus on. Back to of course when we were trading at all time highs, we had a lot of opportunities at that point to transition to NASDAQ. Some of the offerings simply didn't make sense for us to dilute the company the levels needed. And as I've said before, I'm not in huge hurry. One thing of going through this here over the last few years now is that, to me, I've learned a great deal of patience, and you have to build to let things unfold in front of you. And to me, I've witnessed a lot of other companies that diluted that out of their shareholders just to say they're on the NASDAQ. A lot of people don't really understand the cost that's accrued to the issuer on the NASDAQ. When we start to look at even from insurance, there's actually companies that I've been involved with the past that actually had to raise money just to simply cover their insurance and exposure for the year. So there are a lot of costs that occurred to that as well. And quite honestly with the markets the way they've been since January, it's on the back burner, makes a very little sense for us down here at these levels. And due to the current situation and volatility in the market, to me to even entertain those, it is something that the right opportunity comes along. And when it makes sense to the company and I think the shareholders, we’re already set up and have done so much of the leg work that we can move very quickly when opportunity presents itself.
Ian Cameron: Okay, great. Thanks for that, Rob. Annie, I'm going to go back to you with this next question. So Fobi received shares of Azincourt to settle an amount receivable of 262,000. Those shares dropped in value and are only worth 92,000 at year end. Can you explain?
Annie Chan: At the time of settlement, the number of shares received from Azincourt were based on the value back and forth at the time. And since then the market was depressed and Azincourt was new to the situation. However, despite the drop in price, Fobi was still able to make a profit, mostly because the margins are very, very healthy. And the reverse could have been true too. Azincourt could have gone up and we would've made money from it. But the reason why we were able to accept shares and settlement is because our margin’s very healthy, so that in the event the price drops as it did, we are still able to make a profit, which we did.
Ian Cameron: Okay, thanks. Back to you Rob. Just going a little bit into the announcement that came out last Friday. What does the addition of Fobi to the S&P, TSX, Venture, Composite Index, what does that mean to Fobi and to our shareholders?
Rob Anson: Yes, this was a great one for us. Of course, it's something that I quite honestly, I think, would say it's our most proudest moment, if that makes sense. I think it's tremendous for the shareholders, not of just today but is moving forward into next year with the addition to the TSX, Venture, Composite Index, is it provides us tremendous exposure. We will see larger, of course, volume and liquidity for shareholders as well. But more importantly, it's the exposure that we gain that as these funds and index funds grow, the weighted average that they now have to carry Fobi, that's a big deal, very, very big deal for a company of our size in early stage to be lumped into that network, is a huge win for us. And as we've seen -- as I witnessed the other day where some people are sending me screenshots, all of a sudden they come in for 350,000 shares in the bid. This is obviously great level to support as well that will continue to benefit the shareholders.
Ian Cameron: Okay. And sticking with you Rob. Here's a great question. Where do you anticipate the company will experience the largest areas of growth in 2023?
Rob Anson: That’s a great question, it is. Thanks for that. I think for us where, as I said here, this year has been, let's call it, a transition and it's the next evolution, I would say, in our roadmap is, I think with we've been well ahead of the world, I would say, for the most part as far as our technical developments and offerings and now the relevancy of our products, couldn't be better timed or positioned. Obviously, I can't speak to a lot of the conversations that I am having. But I would say that for us the municipal, provincial, federal government opportunities are definitely something that I believe will experience great growth in next year. I think as we've seen now, digital identity, the mobile wallet component of what we've provided in various with HR, with AltID and our other a la carte solutions. For me the wallet pass has always been the issue when to provide activation, and whether that's a ticket in the case of the Oscars or a sporting events operator, or whether that's an access in venue management and security play for it is like the NASDAQ, or with airlines and tourism hospitality age verification and digital identity for transportation. I believe the digital wallet and the credential side of our business will see tremendous growth, as well as I believe the other largest growth point will become as a result of fully data exchange and our data monetization as it kicks in 2023.
Ian Cameron: Okay, great stuff. Well now another great question here. I think probably on everybody's mind, I'm going to ask you to look into your crystal ball, Rob, and the question is, do you feel the market has found bottom, and where do you see the Fobi share price in 2023?
Rob Anson: Well, I mean, one I can't answer that, because we can't give financial advice. But I've thought we found bottom four or five times already this year. So I think there's the market bottom and then there's the bottom here. I would say from a Fobi point of view, we've had a massive consolidation like any I've seen. I think, at this sort of 40 to 55, 60 point here that's for us is, I would say and then I hear it on daily basis that we're one of the few companies that's had a massive consolidation that's balanced stability, that's moving forward and carrying on business. And we're not lying here in a fetal position, we're pushing as hard as we have ever before. And these are the things that are catching the attention of others here on daily basis. So as far as the broader market goes, I don't really focus on that. It's very difficult for me is, I don't watch my own investments on a hourly, daily basis. They're investments for a reason. It's kind of the reason why I've always said here, I've never come out and say, hey, we're going to be $25 next year. I can't control, there's a lot of variables, of course. And all I can control and where our team has done an amazing job is focus on execution daily. Of course, I try to make the best decision I can on an hourly, daily basis for our organization as much as our team focuses on their experience every two weeks, what do we deliver, what box do we check? So I think the markets are in a lot more stable than they ever have been this year. As we've kind of seen here, I'm cautiously optimistic for next year. But as I said, I can't control that. I can only control what we do and how we grow our business, and we are evolving and growing each and every day.
Ian Cameron: Great. This next question is one that I get asked quite a bit, but Rob, I'll let you answer this one. Why can we not mention the name of certain clients in our press releases and why can you not speak to the status of certain negotiations and pilot agreements?
Rob Anson: Well, of course to me it's, well, he was here, it is greatly frustrating, of course. But it's actually a positive thing, because it means that we're now playing in a bigger fishbowl. The larger the groups the more cognizant and cautious they are as to confidentiality. There's numerous deals that where we have not been able to disclose who that partner is. And of course, for me, I'd love to be able to throw these names out on stuff. But really at the end of the day, the only thing that matters isn’t really the association, it's really the multiyear contracts and the revenues tied to those, which continue to help position the company. So as much as I'd love to be able to openly and freely speak to particular updates as to where certain things are or certain contracts that have been announced as to this mystery provider here, it is frustrating and I do appreciate that for the shareholders as it creates a lot of speculation and perhaps people downplaying, I think, the significance it does, it's deflating a bit for myself and for you, Ian, building these press releases is, we'd love to have that name association. But like I said, for us I'm a big picture guy. Really the fact of the matter is that we've successfully onboarded someone else again, that is in a very high stature.
Ian Cameron: That's great. This next question actually speaks a little bit to that bigger picture you're talking about, Rob. So Fobi has made some key acquisitions to fill in piece of what appears to be a very large puzzle. As far as future acquisitions go, can you please give some context as to where your focus and strategy will be next? 
Rob Anson: Yes, I think that with the way the world, I mean, I learned a lot at Money 2020 in Las Vegas the other week. There was kind of little eye opening, to be honest with you, to see how fast some of these other technologies that I've been watching for the last year are now moving. I'm very clear as to our puzzle, which I'm building here and have built to date. There are, of course, as everyone can appreciate, private and public companies that are grossly undervalued, that are having challenges with financing, of course, in these market conditions. There are some tremendous opportunities and deals out there. There's numerous accretive acquisition opportunities that I'm currently looking at today. And I think open banking, healthcare are two that continue to be sort of top of mind for myself and the team here. I think there's a great deal of value right now in the CPG retail space. We've put a lot of effort into the influencer side of the business and marketing. Agencies are another one for us that we look to add, not just simply strategic technology here but there's a lot of great undervalued companies with very significant reporting revenue. So I think for us we'll continue to look and assess, and move where we can. And it's very fortunate, I'm very appreciative and thankful, very, very thankful that I have now strategic investors that are standing behind us that are here to support the company as needed when there is an opportunity for accretive acquisition. And it's very, very encouraging for myself to build a focus on growing the business and not to be in fetal position and survival mode like unfortunately a lot of other companies are today.
Ian Cameron: Right. And this next question actually speaks a little bit to that as well. You've mentioned in many recent interviews that the companies -- the Fobi's burn rate has decreased. Are you able to advise as to how much?
Rob Anson: Yes. I think this is a very, very important one for us. And it goes to a lot of the operational cost of last year, as Annie said, for any company that was as active as we were in 2020, 2021 with acquisitions, the addition of very, very heavy cumbersome tech engineering as a result of that brought a great deal of cost and monthly burn. As we finished that now, I mean, we've decreased our operational burner cost by over 50%. So for us that's enabled us greater run rate as it was witnessed there. It's now enabled us to look strategically on what monies we did take in with expected growth and continued revenue generating contacts and EBITDA of the company in 2023. We're in a very solid position now. And I think as we start to look back here, some of these decisions we made for me it was a big, big push to get a lot of this done before the market corrected itself. And for us, I always look at the numbers. No matter what we're doing, we're a data intelligence company and data plays a huge part in my decisions as well. And in this case here, it was very, very timely for us to complete all of this heavy technical [debt]. Development and integration work is moving now towards focus of sales and marketing, provides stability now of continued further growth and evolution with revenues.
Ian Cameron: That's great. And that actually connects right into the next question. And this is a great one for you as well. You appear to be enjoying yourself in recent interviews, and there seems to be a greater sense of confidence. Are you able to speak to what this relates to?
Rob Anson: I think, a lot of it quite honestly is -- I'm a very emotional person. I take great pride in what we do. I'd say very hard on myself. I think when I look at the -- some of the frustration was you always want to move faster. When there was so many opportunities for us that I couldn't snap up at point in time, because of the technical debt and some of the delays around this integration work and development, you kind of feel like you're in quicksand where the cart wants to get ahead of the horse at all times. But of course we can only go as fast as the horses pull us here, in this case. And our current and past, developers and engineers that were here, did a tremendous job to fight through all that and to get us to the position of where we are today where we can move now extremely quickly. And so that that kind of weighed off the shoulders, I guess, you could say, Ian, and whoever submitted this question. Yes, it’s just natural progression. For us now, I'm able to get a lot more involved in a lot of the business development and strategy and meetings, and that's where I have a lot of fun. Because it's about solving problems of today, but providing that path and roadmap towards future proof solution for our partners. And our technology is extremely well suited now to plug in as much as we're seeing here. Some of the other stuff that we're working on is very strategic. And when I start to look at what it means to the company, I can't help but smile sometimes. And good things happen when you're having fun. And right now, yes, I'm having a lot more fun and it's good. I think it's carrying over to the team of course, and the environment of course where we all are hybrid and in office and sort of this transitionary model. And I think we're all working very, very well together.
Ian Cameron: Absolutely. I know I'm having a lot more fun right now as well. A little bit more logistical question for you here. Rob, is there a date yet set for the AGM, and will it be in person or online?
Rob Anson: That is a great question. December 15th, I believe is our AGM. And I know we are just filing and sending our circular to print, so that should be out here in the next coming weeks. And I believe for this year, it's still going to be supported online. I will confirm that though.
Ian Cameron: And then one last question, just connected to today's press release. As there has been no mention of opportunities for sports and entertainment of late, I believe today's news release with FanMaker caught most investors off guard. Can you speak to the size of the opportunity with FanMaker?
Rob Anson: Well, sports entertainment has always been one where we've explored it. Mike Canevaro who’s here, put a great deal of effort and time into some of these projects. But it is just as great as the technology is and people want to move forward, we do have to remind ourselves too that there's a lot of variables. COVID brought a great deal of, of course, adversity to the teams and venues and operation with no fans and still some stadiums, as we saw, even back in as early as the spring of 2022 here. So right now, as I said in my other comments and where I start to expect to see a lot of growth, the wallet is going to play a very big part, because it provides that streamline, provides that operational value there but more importantly, on the fan side, our ability to segment data to be able to activate data through the wallet and in this case through integrations, through the FanMaker platform, puts us in even more, I guess, I would say, a better position. Because it's always about agility. It's always about the value and benefits, in this case, extension of corporate sponsorship is a big focus. The bundling product release that we do has played a big part, and of course, the FanMaker announcement today is the teams that we're enjoying marketing efforts with that's been a big part of it, is that bundling capacity to carry extension of corporate game based sponsorship into community, so they can carry relevant vouchers through their partners to be redeemed and tracked and measured. And of course, as I mentioned earlier, AltID and age verification, we're going to see a great deal of change in policy and statutes, because when a lot of this gaming and lottery raffles and food delivery of alcohol and whatnot, the goal posts were very, very wide, Ian. And now that I'm starting to be part of these conversations with various policy makers, it's interesting to see where the world is definitely headed when it comes to digital credential identity and verification. And that's where -- why I said we are extremely well positioned and where I expect to see tremendous growth in 2023 for coming.
Ian Cameron: All right, that's great. Well, I want to thank all of our investors and anyone else who joined us for the webinar today. This concludes the financial results announcement. I also want to thank you, Rob and Annie, as well for all of your comments and explanations today. If anyone has any other questions, you can certainly submit them through the contact us form on the investor page. Also please keep your eyes out on the Web site for other announcements, our podcasts and other videos that are in the resources section on the Web site. So thank you again. And we will be back with you in the not too distant future. Take care.